Odd-Geir Lyngstad: Hello, and good morning. It's a pleasure welcoming you to Elkem's Second Quarter and Half Year Results Presentation. My name is Odd-Geir Lyngstad. I'm Vice President for Investor Relations in Elkem. With me today I have CEO, Helge Aasen, and CFO, Morten Viga to take us through a business update, the financial results for the second quarter, and the outlook for the third quarter. After Helge and Morten's presentations, we will open for Q&A. We will start with the business update, so please Helge, the word is yours.
Helge Aasen: Thank you, Odd-Geir, and good morning everyone. The result for the second quarter was in liability. While market conditions remain challenging, the demand is still relatively weak and sales prices remain on a low level, particularly is that the case for silicones in China. We are reporting an EBITDA in the second quarter slightly above NOK1 billion, which gives an EBITDA margin of 12%. The Silicones division reported improved results compared to both second quarter last year and first quarter this year. The overall market sentiment as mentioned is still weak. However, there are some signs of improvement in demand. The division is also working systematically to improve cost and operational performance and these initiatives are paying off. Silicon products delivered a stable good result based on strong cost positions but had the low sales of silicon metal in the quarter. Carbon solution has again delivered strong quarterly results. Sales prices were down but the division had a favorable cost development and good sales volumes. So -- and the profit after tax for the quarter was NOK881 million, which gave earnings per share of NOK1.65. Moving on to ESG, we are very proud of our strong performance within ESG and this is recognized by good ratings from CDP, from EcoVadis and Standard & Poor's, S&P. Elkem has also received recognition with an A+ from Position Green and we were awarded second place and silver from the Farman prize. The most important target is obviously to reduce CO2 emissions, primarily, is this generated in the production of silicon and ferrosilicon in Elkem. Our target remains, it's our ambition to reduce absolute emissions with 28% by the end of 2031, which corresponds to a product carbon footprint reduction of 39% when we factor in growth during this period. CO2 emissions were down 8% in 2023 compared to 2022, mainly explained by somewhat lower production. So, we are doing extensive research as well to remove CO2 emissions from the production process. One of these research projects is named Sicalo, which stands for silicon production with carbon looping. The concept involves capturing and recycling the carbon in the process of gas and then reuse this as a reductant in the production process. This could have the potential to completely eliminate direct CO2 emissions from future silicon and ferrosilicon production. This is a research that requires extensive resources and we are very pleased to inform you that Enova has granted NOK31 million to support the project to build a medium scale pilot here in Norway, in Kristiansand, where some of the process steps can be further developed. As covered in previous quarterly reports, we have significant focus on improvements and in order to respond to the challenging markets and lower results, this is particularly the case in silicones. The main measures are sales optimization. This is both sales boost and also customer and product portfolio optimization. Raw material sourcing and yield improvements is another important area, which obviously includes also new sourcing alternatives of raw materials. Organizational streamlining and manning reductions is another part of it and we are simplifying plant and production structure such as the recent closure of a smaller silicones plant in Lubeck in Germany. The target is to improve EBITDA by NOK1.5 billion in 2024 compared to 2023. The program is ahead of plan and by the end of the second quarter, we have realized improvements of NOK0.6 billion. These improvements have an estimated full year effect for 2024 of NOK1.3 billion. The program will continue with more initiatives in the second half, but then, for obvious reasons with lower direct impact in 2024. CapEx reductions are also an important part of the program. The plan is to reduce CapEx by NOK2 billion compared to the 2023 level, which brings it down to NOK3.2 billion this year. By the end of the second quarter, total investments amounted to NOK1.3 billion. When it comes to reinvestments, we aim to keep that at the level of 80% to 90% of depreciation and we were well within this target by the end of the second quarter. Regarding strategic investments, the focus is to complete already ongoing expansion projects. The silicones expansion project in China was finalized in May this year and the other ongoing projects in silicones in France and in carbon solutions in Brazil will be completed later this year or early next year. With these projects finalized, we will be very well positioned in the upstream business, the most capital intensive part, and this will give us more flexibility to keep investments lower going forward, if this should be needed. A few more details on the silicones project in China. Commercial production was successfully started in May. The project has been finalized on time and cost and will be ramped up during the rest of the year. The financial impact is likely to be limited until the production is fully up and running, but we have seen some positive contributions already now in the second quarter. The new capacity is expected to generate revenues of about NOK1.5 billion in this year. This will improve Elkem's cost position, environmental performance, and deliver higher upstream product quality. The cost improvements are mainly achieved through lower energy and raw material consumption and the new production line is expected to be on level with the lowest cost capacity in the silicones industry. A few words on innovation. We have an ambitious innovation strategy to accelerate growth, mainly through specialization projects. In Elkem, we have a team of close to 600 people working in research and innovation. We have 14 research and innovation centers, more than 1,200 patents and over 50 scientific collaboration projects. In 2023, more than NOK6 billion, or around 16% of total operating income was generated from products developed within the last five years. Elkem is also being recognized and winning awards for the product development and I'd like to mention here two examples. In 2024, we were awarded the Ringier Innovation Award, which was received for a newly developed silicon rubber product. And the 2024 SEAL Sustainable Product Award for product innovations that positively impact the environment. Third example is our partnership with Polestar, where Elkem plays an important role in their efforts to create a truly climate neutral car by 2030 through eliminating greenhouse gas emissions from every part of their supply chain and production. Elkem acquired a highly specialized downstream plant in France in 2021 and we are now going to enter into production of organo-functional silicones and are ready now to start industrial scale production of these applications, which mainly go into personal care and coatings, release coating in particular. Back to the market. The overall silicones capacity in China has increased significantly over the past years. And this has also coincided with a period of lower macroeconomic growth and a strong downturn in the construction sector in China, which, as you know, is a very important outlet for Silicones. So the combination of new capacity and lower economic growth have resulted in an oversupply market with pressure on sales prices and consequently lower profitability for the producers. New capacity additions in 2024 is estimated to about 600,000 tonnes, where we account for about 100,000 tonnes of that. The actual production volume that becomes available in the market will depend on startup dates and subsequent ramp up for the various projects. However, there are clear signs now that producers in China take action and cancel or postpone projects and our internal market intelligence in China indicates that there will be no, or very limited new capacity coming on stream in 2025 and 2026. Outside of China, there are no new upstream projects and this means that the estimated global production capacity of siloxane, the starting point for all silicones, will be about 4.6 million tonnes by the end of 2026. Moving on to macroeconomics, Elkem's sales are closely linked to GDP growth, with construction and automotive as two key markets. The recent macroeconomic sentiment has been weak. Many reasons for that, tighter financial conditions, other adverse factors like the war in Ukraine and conflicts in the Middle East. OECD released their updated economic outlook in May, this year and this report indicates somewhat better development than previously anticipated, which could be good news also for us going forward. And as you can see from this table to the right, several OECD projections are revised up by more than 0.3 percentage points since their November report last year. In the US, growth has been robust, driven by strong household consumption and an expansive fiscal policy. The growth in China strengthened in the first quarter in 2024, based on stimulus measures by the government, which have been implemented then to offset continued weakness, especially in the real estate markets. The euro area remains weak with an anticipated growth of 0.7% this year, but is projected to pick up next year as domestic demand is expected to recover. In addition, we would like to give some more details on the market development in China, focusing mainly on construction and automotive. The statistics from China confirm what we clearly see in the market in terms of demand. New housing projects year to date was 301 million square meters, which is down 24% compared to the corresponding period last year. Car production in China is showing a better development. Production year-to-date May was 11.4 million units, up 7% compared to the same period last year. The share of EVs continued to grow and represented 34% by May 2024, which is up 28% in 2023 and 21% in 2022. So, significant growth here. The demand for silicon has primarily been driven by polysilicon going into solar. When we look at the year to date May numbers, the production was up 30% compared to the same period last year. And the production of siloxane was up 13% compared to the same period in 2023. So I think this indicates that there is a demand pickup from other sectors than solar. Now let's have a look at the specific markets. As mentioned, the silicones markets are generally weak due to oversupply and weak demand from construction. Automotive is still also weak in the EU and the US. We see some improvements in demand for specialty grades, but so far the recovery is at a very moderate pace. As you can see from the chart to the right, DMC prices have been stable at a low level during the quarter. We do think that prices are likely to remain at the current levels in the near-term in China due to, as mentioned, more capacity coming on stream. In June, Shin Etsu announced a global price increase of 10%. Shin Etsu is a big Japanese based producer. So this 10% increase has been explained by general inflationary pressure, which we think is likely to be followed by other producers. The prices for silicon and ferrosilicon in Europe have recovered from the very low levels we saw in the third quarter last year. But market conditions remain weak and the reference price for silicon was slightly down towards the end of the second quarter. Whereas ferrosilicon prices in the EU has been stable during the same period. In the US, we have seen higher prices for silicon and ferrosilicon, driven by a combination of improved demand and tighter supply. In addition, anti-dumping investigations on ferrosilicon imports against Russia, Kazakhstan, Malaysia and Brazil have impacted ferrosilicon prices. And a preliminary anti-dumping duty of 449% against Russian ferrosilicon was issued this month. And the cases against the other countries will be decided later in August and early September. In China, silicon prices are down in the second quarter due to weak markets and seasonal oversupply. It's now the wet season in China and typically producers based on hydropower will be running. Lower prices in China has had some impact on prices in the EU, but exports are still affected by high sea freight rates and disruptions in the Red Sea. When it comes to carbon products, this is a much smaller market and we don't, as previously also commented, we don't have a good reference price available here. The demand for carbon products varies across regions, mainly driven by steel, ferroalloys and aluminum production. The global steel production in the second quarter this year was in line with the second quarter last year and the carbon solutions division is partly able to offset weaker market demand through a specialized product portfolio that contribute to a very consistent and stable performance across all markets and regions actually. So that ends the business update. And I'll give the word to you, Morten, to take us through the financials.
Morten Viga: Thank you very much, Helge, and good morning, everybody. So it's a pleasure to present the second quarter results to you in more details. Our operating income amounted to NOK8.5 billion, which was down compared to the corresponding quarter last year, but up from the previous three quarters. The operating income for silicones increased versus Q2 last year, but this was more than offset by a reduction in the other divisions. EBITDA for the quarter was NOK1 billion, which was in line with the second quarter last year, but also here we have seen an improvement from the previous three quarters. Silicones has had a significant improvement from the weak results last year, up more than NOK400 million. But as you can see, this was also offset by somewhat lower results in silicon products and carbon solution. That gave, as already mentioned, an EBITDA in line with Q2 '23 and the EBITDA margin for the quarter was 12%. There were no particular one-off items affecting the EBITDA this quarter. But in the second quarter last year, for comparison, we had negative effects of NOK170 million, in connection with a maintenance stop in China and an inventory write-down in silicones. So as always, we have for your benefit summarized the main financial numbers and some financial KPIs. I will not go into detail on all of them, but the EBITDA as I said was NOK1 billion and NOK30 million. This number includes realized losses on the currency hedging program of NOK21 million. We should also mention a couple of other items related to depreciation and amortization and impairment losses. So, after the finalization of the silicones expansion project in China, the depreciation will increase by approximately NOK60 million per quarter. And in the second quarter, the depreciation and amortization amounted to NOK625 million. Elkem has also recognized write-downs of NOK139 million in the quarter. This was mainly related to our biocarbon project in Canada. Since 2020, we have worked on developing a new technology, a pilot plant to produce biocarbon pellets to replace fossil coal in Elkem's metallurgical processes. This project has been based on new technology developed through lab and pilot scale and the project has faced some challenges and we are now undergoing technology modifications and that is really explaining our decision to make a write-down of some of the assets. Other items amounted to minus NOK35 million consisting of gain on power and currency derivatives of NOK66 million. This is offset by restructuring expenses of minus NOK40 million, currency losses of minus NOK35 million, and net other items of minus NOK25 million. Net finance expenses amounted to minus NOK218 million, consisting of net interest expenses of minus NOK198 million. Currency losses of minus NOK35 and net other financial items of plus NOK50 million. The tax cost for the quarter was positive with NOK892 million. And this includes a positive effect of NOK1,067 million due to the recognition of the taxes losses carried forward from the REC Solar acquisition. So let's then take a look at the results for Elkem's division and we will start with Silicones. After the weak result in Q1 '24, we are very pleased to see that the Silicones division is back in positive EBITDA numbers in Q2, although we are not at all satisfied with the level of the result. Total operating income was almost NOK3.8 billion, for the quarter, which was up 10% from the second quarter last year. The higher operating income was mainly explained by higher sales volumes, which was partly countered by lower sales prices. EBITDA was plus NOK45 million, which is an improvement of NOK374 million versus the second quarter last year. As mentioned, the second quarter 2023 was impacted by maintenance stock in China and an inventory write-down. But the improved result in the second quarter this year was mainly explained by higher sales volumes and other operational improvements as part of our extensive improvement program where most of the effects were generated in silicon. So we're happy to see that the program is really delivering good improvement results, particularly in silicones. Sales volume was up in all regions compared to second quarter last year and reached 92,000 tonnes this year. So let's then move to silicon products. The division accounted for 45% of operating income and 66% of the group's EBITDA in the quarter. Total operating income amounted to NOK4.1 billion in the second quarter, which was down 14% from the second quarter last year. And the reduction in operating income is mainly explained by lower sales prices for silicon and ferrosilicon compared to the same quarter last year. EBITDA amounted to NOK742 million, for the quarter, down 34% versus the second quarter last year. And the EBITDA margin amounts to 14%. The reduction in EBITDA compared to last year is mainly explained by lower sales prices, which was partly countered by lower raw material costs. As you may remember, we had a fire at the Salten plant in Northern Norway, in December 2023. Two of the plant's three furnaces are now back in production, but the last furnace is still out and will remain so still for a period of time. We will receive insurance compensation in connection with the fire and this has been included in the second quarter with an amount that reflects the estimated losses at the plant compared to normal operations. The demand picture is still quite weak with a sales volume in line with previous quarters. The Carbon Solutions division had yet another strong quarter with an EBITDA of NOK331 million and an EBITDA margin of 33%. The division accounted for 11% of the group's operating income, but 30% of the EBITDA. Total operating income was NOK1 billion, which was down 13% from the second quarter last year. And this reduction is mainly due to lower sales prices. EBITDA was down 6% from Q2 last year down to NOK331 million. And the reduction in sales prices in the quarter, was largely offset by lower raw material costs, higher productivity and good sales volume. Sales volume was in line with second quarter last year, but the overall market sentiment was still impacted by weak ferroalloys market. So, let's then look at some of the key financial ratios. The earnings per share EPS ended at NOK1.65 per share for the quarter, which was an improvement compared to previous quarters. And the EPS was positively impacted by the positive tax effect related to the REC Solar acquisition, but we are also pleased to see that the negative EPS in the first quarter now has been offset already in this quarter. The balance sheet remains rock solid. Total equity amounted to NOK25.4 billion, by the end of Q2 and this gives an equity ratio of 51%. The equity and equity ratio are quite stable and have -- although they have increased slightly since year-end 2023. So our financing position remains robust and stable despite weak market conditions and it is our clear focus to make sure that we keep a solid position in this market environment. The net interest bearing debt was NOK10.3 billion at the end of Q2, which was more or less unchanged from the previous quarter. And based on the last 12 months EBITDA, debt leverage was 3.5 times by the end of Q2 and this was unchanged from the last quarter. The target is to bring leverage down to the financial target, which is over the cycle to be between 1 to 2 times EBITDA. We are higher than that now, but we are confident that our actions to improve EBITDA and also reduce investments will have effect and we could start to see improvements in the leverage ratio during the next quarters. Our financing maturity profile is good, but we may consider some refinancing activities to maintain our very good position in this field. We have received an extension of the revolving credit facility in the second quarter, so the maturity of this facility has been extended from June 28 up until June 2029. The facility remains undrawn, but it is an important part of Elkem's liquidity reserves. The maturities, to the left, in China consist mainly of working capital financing, which is regularly rolled over and where there is no refinancing risk. We have entered into a covenant waiver agreement in the first quarter, which reduced the interest cover covenant from 4 times to 3 times for all quarters in 2024. So we were proactive in that respect. And by the end of Q2 '24, our interest cover ratio was 3.8%. The cash flow from operations amounted to NOK375 million for the quarter. This was somewhat lower than the corresponding quarter last year. And this is mainly explained by somewhat improvement, or somewhat increase in working capital. However, the working capital is still at a good level and we maintain a very strong focus on optimizing working capital. When it comes to investments, the target is to reduce CapEx by NOK2 billion compared to 2023. Reinvestments and strategic investments ended at NOK600 million in Q2 and year-to-date we have investments at NOK1.3 billion. And this is well in line with our plan and we expect to reach the investment reduction target for the year, as I said, at NOK2 billion. Reinvestments for the quarter was down to NOK445 million, which amounted to 71% of depreciation and amortization and it's 60% year-to-date. As you may recall, our target is to keep reinvestments at 80% to 90% of depreciation and amortization. So we should expect that reinvestment level could be somewhat higher in the next two quarters. The strategic investments amounted to NOK257 million, which included the REC Solar acquisition and also is mainly related to the silicones expansion projects in France and China. The expansion project in China was finalized in May and we are now pursuing a ramp up, a startup which so far is very successful. We will have the flexibility going forward to keep investment rather low, because now we are very well invested into the capital intensive upstream part of our business model. So with that, I would like to hand back the word to Helge, who will take us through the outlook.
Helge Aasen: Thank you, Morten. So to sum up, the market sentiment is relatively weak. We have some signs of gradual improvement. The silicones division expects improved demand in Europe and the US, while the Chinese market will continue to be hampered by overcapacity. Our focus on EBITDA improvements and the new production line are expected to have positive effects. Silicon products is expected to benefit from improved market conditions, countering seasonally lower activity in Europe during the summer holiday. And the carbon solutions expect still a weaker demand than normal, but capitalizes on strong and diverse market positions. So, this concludes our presentation today. And with that, I hand it back to you, Odd-Geir.
A - Odd-Geir Lyngstad: Thank you very much for that, Helge. So, first, any questions from anyone present here today, as we now open for Q&A.
Magnus Rasmussen: Magnus Rasmussen, SEB. You mentioned regarding the Chinese expansion project that you will have about NOK1.5 billion of revenue, but you also said limited financial impact until the plant is fully running. Does that mean limited EBITDA impact through 2024?
Helge Aasen: Yes.
Magnus Rasmussen: Okay. Thank you.
Odd-Geir Lyngstad: Okay. We have a few other questions. Shin Etsu has announced a global price increase of 10%, as mentioned in the presentation. So the question is if there are any plans for Elkem to follow on that.
Helge Aasen: I think we will follow the market development very closely and expect to participate in any positive developments.
Odd-Geir Lyngstad: There is also a question regarding dividend for '24 as we had a positive EPS after this quarter. Is there -- can we expect Elkem to pay any dividend for '24?
Helge Aasen: Well, that, of course, remains to be seen what the Board will decide, but I think it's reasonable to affect to expect that Elkem will pay dividends in line with our communicated policy.
Odd-Geir Lyngstad: More on outlook and price picture going forward and expectations for silicon and ferrosilicon prices, where are they heading?
Helge Aasen: No, I think, as mentioned, we see some positive signs, but we're also moving into a quarter with seasonally lower activity. So, I think we'll see a pretty stable picture. Morten, you want to add something?
Morten Viga: No, I think that's a good summary. Clearly, prices are, let's say, quite hampered by the weak market sentiment. But we have seen not any, let's say, further negative development. We will not guarantee any price increase, but at least we see limited downside.
Odd-Geir Lyngstad: You also said in your presentation that there were no new projects coming on stream in China in '25 and '26. What do you think about the supply-demand balance in China in the next few years?
Helge Aasen: Of course, very much dependent on macroeconomics and how -- because there is a very close correlation on the demand for silicones and overall GDP. But based on what we see today, I think we will continue to see an oversupplied market in 2025 and then things could probably turn into a more balanced situation in 2026. But of course, a lot of uncertainty here. But I think the positive thing is that I think the very aggressive capacity expansion that we have seen so far seems to be now to be stopped.
Odd-Geir Lyngstad: And what about EBITDA going forward. What is your expectations for the third quarter?
Helge Aasen: Ask the financial manager.
Morten Viga: That's a very good question. And as you know, we don't give any quantity financial guiding, but clearly we have guided on the market development that we see, which seems to be quite stable and I should say with quite limited further downside, to put it that way. And then we have seen that our EBITDA improvement program has given already good results in Q2 and we also believe to -- expect to see good results from that going forward.
Odd-Geir Lyngstad: We also have a question here regarding the operating leverage in Silicones, and with volumes up 15% quarter-over-quarter and the benefits from the EBITDA improvement program, why wasn't the result even better?
Helge Aasen: Because we still see quite weak, or I should say weak market demand both in China or in Asia Pacific for commodity products. And we also see quite weak volume demand for specialties in the western world. So we think it's quite good to have a pretty significant improvement in results, both versus Q1 and of course, also versus Q2 last year in a weak market sentiment. But this is not due to market improvement. It's due to, let's say, internal operational improvement. And that will also be our focus going forward to further improve our internal performance, our internal cost position. And we will also be helped by the expansion project in China, when that is being fully ramped up in that respect.
Odd-Geir Lyngstad: Thank you. Any further questions here from the audience. Doesn't seem to be that. So that concludes our presentation for today. Thank you very much for attending and wish you all a very nice summer going forward. Thank you.
Helge Aasen: Thank you.